Alex Giaimo: Good morning, and welcome to Unity's First Quarter 2025 Earnings Call. My name is Alex Giaimo, and I recently joined Unity's to lead Investor Relations. I'm thrilled to join the team and look forward to working with all of you. Today, I'm joined by Matt Bromberg, our CEO; and Jarrod Yahes, our CFO. Before we begin, I'd like to note that this conference call includes forward-looking statements, including statements about goals, business outlook, industry trends, market opportunities, financial performance and similar items, which are subject to risks, uncertainties and assumptions that could cause actual results to differ from those expressed in these forward-looking statements. We undertake no obligation to update any of our forward-looking statements. For more information about factors that may cause results to differ, please refer to the risks described in our most recent Form 10-K, particularly in the section entitled Risk Factors as updated by additional filings we make with the SEC from time to time. Today's call will include both GAAP and non-GAAP financial measures. Non-GAAP financial measures are in addition to and not a substitute for or superior to GAAP results. A full reconciliation of GAAP to non-GAAP financial results is available in our earnings release, which can be found on our Investor Relations website and on the sec.gov website. With that, I'll pass the call over to Matt.

Matthew Bromberg: Thanks, Alex. That's really good to have you with us, and good morning, everybody. On behalf of all the people of Unity, I'd like to thank each of you for joining us today. The transformation of our company gained significant momentum in the first quarter. Through our commitment to building a culture of execution and discipline, reestablishing trust with our customers and the community and accelerating both the pace and quality of our product innovation, we're creating the conditions to catalyze rapid growth at Unity. In the first quarter, strength across both the Grow and Create segments helped drive results that exceeded expectations, beating the high end of our guidance for revenue by 5% and adjusted EBITDA by 29%. The progress in our Grow business has been particularly encouraging. Last quarter, we announced the intention to migrate the Unity Ad network to our new AI platform, Unity Vector, by the end of Q2. Today, we're excited to report that this migration has already been fully completed with all of the iOS and Android traffic on the Unity Ad Network now running on Vector well ahead of schedule. This is a significant first milestone and a testament to our commitment to rapid continuous product innovation in our Advertising business. With Vector now operational, we can begin to leverage data from across the Unity ecosystem to provide deeper insights, optimize performance and deliver better return on investment for our customers. Our journey to compete in a fundamentally new way has now officially started as our self-learning models adapt in real time, helping customers navigate an increasingly competitive mobile marketplace. The accelerated time frame of the Vector rollout means that our customers are already experiencing a lift in the return they're seeing from spending with Unity. In iOS, where we've now had enough time to develop reliable data, Vector is providing a 15% to 20% lift in both the number of installs and the value of in-app purchases when compared to our old model. That means more players and more players who spend more, providing our advertisers with a higher return on their investment with us. Although our Android migration is more recent, it's happily on a similar trajectory to where iOS was during the same period of development. Now we look forward to the next phase of our plan, where we'll work closely with our customers to help optimize and enhance the performance of their user acquisition capabilities over time while also continuing to invest in improving the fundamental AI each day. These strong early results not only provide confidence that we're on the right track with Vector, they also enable us to continue to take an aggressive approach with respect to the modernization of our Ad business overall. Our primary focus is on creating meaningful, sustainable revenue growth over the long term. That means we don't hesitate to move resources to our best-performing products, short-term revenue impacts notwithstanding. As a consequence, in Q2, investors won't yet fully see the vector-driven lift in our financial results. That said, our confidence in the future of our Grow business has never been stronger.

Matthew Bromberg: We're equally excited about progress in the Create business. Unity 6, the most stable and performant version of Unity we've ever shipped, has now registered more than 4.4 million downloads since launch. 43% of our active users have already moved to Unity 6 with recent survey data suggesting that more than 80% of users are currently intending to upgrade. And we can see this enhanced connection to our customers flowing through to our financial results as well, with subscription revenues in Create growing double digits year-over-year in the quarter. In April, we launched Unity 6.1, 6.1 is the first release to leverage our new production testing methodology, which validates our software in real production environments to ensure that our customers never again have to choose between adopting new features and maintaining stability. Unity 6.1 also significantly enhances the number of platforms our developers can reach, including day 1 support for Nintendo Switch 2, Meta Quest, Android XR, foldable Android screens, instant games and webGPU. For the Switch 2, we battle-tested Unity through a first-of-its-kind partnership with KONAMI, where our internal teams built a full launch title called Survival Kids. The valuable feedback obtained during the development process of this game will drive future enhancements to the Unity engine. We're particularly optimistic about the future potential of AR and VR gaming and entertainment, with recent research from NewGenApps predicting the market will reach 216 million players worldwide by 2025. Our goal is to stay at the forefront of this evolution and for Unity to continue to be the go-to platform powering AR and VR experiences, where we're already powering the majority of the top applications in the marketplace. As one measure of Unity's continued strength with the next generation of game developers, not 4 or 5, but all 9 of the 9 game categories at the Independent Gaming of Festival Awards of 2025 (sic) [ Independent Games Festival Awards of 2025 ] went to games made with Unity. In addition, Neva by Nomada Studios and Thank Goodness You’'re Here by Coal Supper, both won 2025 BAFTA Awards with Made with Unity titles, an incredible recognition of the talent and creativity in our community. And finally, the growth of the Unity platform beyond games into other industry verticals continues to represent the fastest-growing part of our Subscription business. Consistent strong demand across a wide variety of industries and use cases has resulted in both 9 straight quarters of sequential revenue growth as well as meaningful year-over-year revenue growth as well. New customers include Philips using Unity for minimally invasive surgery simulation, Siemens, who is modernizing its training and workforce development and Toshiba Elevator and Building Systems, who is creating digital twins of installation sites. The Unity platform has tremendous potential outside of gaming, and we are increasingly optimistic about our ability to capitalize on this opportunity at scale. I'd like to thank all of our teams globally for their relentless efforts as we continue to transform Unity and earn our customers' trust each day. As the only company we know of that is capable of supporting developers across the full life cycle of development, Unity plays a unique role in helping our customers move from prototype to profitability faster and more efficiently than ever before. It's a role we feel privileged to play. Thank you again for your time and attention this morning. With that, I'll pass it over to Jarrod for an overview of our financial performance.

Jarrod Yahes: Thanks, Matt. I'm pleased to report that Unity exceeded the top end of our guidance on all measures in the first quarter. Revenue exceeded the top end of our guidance by $20 million, with adjusted EBITDA coming in $19 million above the top end of our guidance. Grow revenue in the first quarter was $285 million, down 4% year-over-year, with revenue upside compared to our guidance, partially driven by an acceleration of the rollout of Unity Vector, where we're seeing better performance than expected at this early stage. In Create, revenue was $150 million, down 8% year-over-year, driven by our transition away from the low-margin Professional Services business. Through this deliberate transformation, we've optimized our revenue mix with high-margin Subscription business now representing nearly 80% of Create revenue. Our core Subscription business continues to demonstrate strong momentum, delivering double-digit year-over-year growth this quarter, positioning us for sustainable, profitable expansion. Turning from revenue to non-GAAP profitability. Adjusted EBITDA for the quarter was $84 million with 19% margins. Adjusted EBITDA margins expanded 200 basis points year-over-year in the first quarter, driven by operating leverage in the platform and solid cost management across expense lines, particularly in G&A and sales and marketing, where total expense was down roughly $20 million year-over-year. R&D costs are up $10 million over the last few quarters as a result of heavy investment in Unity Vector. We would expect those costs to normalize in the back half of the year as we transition away from running both our legacy and new Unity ad models in parallel. Free cash flow in the first quarter was $7 million, an improvement of $22 million year-over-year. The first quarter is traditionally the most modest seasonally from a free cash flow standpoint, given the concentration of prepaids, personnel costs as well as payments to the supply side of the Grow network. As we focus on driving per share returns, in the first quarter, we've started to report out on adjusted EPS in our disclosures. Adjusted EPS in the first quarter was $0.24, and investors should expect to see a sharper focus on minimizing shareholder dilution and stock comp expense, which came down nearly $45 million year-over-year as we lapped M&A-related vestings. In terms of our balance sheet, cash at the end of the quarter was $1.5 billion and debt was $2.2 billion. In February, we priced a $690 million convert and the offering was extremely well received. The deal was upsized and priced with 0% coupon and a capped call with a cap price of $47.74. We used the proceeds of the offering to repurchase $688 million of principal balance of 2026 notes and effectively extend those maturities into 2030. This transaction ensures that Unity has the capital structure with a smoother debt maturity profile, and we now feel extremely comfortable with where we are from a financing standpoint. With that, I'd now like to turn to guidance for the second quarter. We're expecting total second quarter revenues of $415 million to $425 million and adjusted EBITDA of $70 million to $75 million. In Grow, we expect steady sequential revenues driven by improved performance of Unity Vector. This revenue growth is expected to be offset by declines in select legacy ad products in the second quarter. However, as the performance of Vector continues to improve, we expect to see the overall Grow business return to revenue growth with the performance improvement from Vector outpacing any other headwinds we face. In Create, we expect continued momentum in our Subscription business across the gaming and industry verticals. However, we're forecasting a slight sequential decline in Create due to an expected runoff in nonstrategic revenues. Before turning the call over for questions, I'd like to extend a warm welcome to Alex Giaimo, who recently joined Unity as our new Head of Investor Relations. And with that, I'd like to thank you for joining us on Unity's First Quarter 2025 Conference Call. And let me turn the call over to Alex so that we can take your questions.

Alex Giaimo: Thanks, Jarrod. We'll now open the call up for questions. [Operator Instructions]. We'll take our first question from Matt Cost at Morgan Stanley.

Matthew Cost: Can you hear me?

Alex Giaimo: Yes, go ahead, Matt. Matt, we can hear you.

Matthew Cost: Yes. Sorry about that. Yes, yes, sorry. Great. I guess on the Vector rollout, I guess if we could just dig down one level deeper there. Are you seeing the customers that are on Vector respond to that 15% to 20% lift in installs in IIP by increasing their spend? And are you seeing customers shift over spend from legacy ad products on to the vector-enabled products? Or is this a dynamic where you're kind of losing business on one hand, but trying to offset it by growing wallet share and increasing spend for the people who are on the new product?

Matthew Bromberg: Matt, thank you very much for the question. Good to hear from you. The advertising business is a very competitive business, and there are -- which means there's internal competition and external competition. And I think the best way to think about it is not to try to get too cute. What's really important is that performance of Vector is really positive. It's much more positive than even we had expected, and it's driving return for advertisers. And what that means is they spend more. And we are seeing across the broad set of our customers, we're seeing customers begin to spend more with us. As all of you know, who are following the company, folks in performance-based advertising do not have fixed budgets. So they will spend up to the point they hit their ROAS targets. And when we perform better and provide more players and more high-value players, they spend more with us. And so I would imagine that the customers are moving budgets around all the time. But the point is that it's not capped. It's not a winner-take-all business. And so we're really excited about the broad growth we're seeing across our -- across the segment.

Matthew Cost: Great. And then on the subscription side, you noted kind of strong growth in the subscription revenue. You're seeing a lot of adoption of Unity 6, it seems, which is great. Is this mostly being driven by people being -- customers becoming subject to the higher pricing on Unity 6? Or is there a meaningful element of subscriber growth in that subscription revenue growth as well?

Matthew Bromberg: You won't start to see the impacts of some of the significant price increases that we made recently until the back half of the year. So that's not what you're seeing there. You're seeing both growth in the core business as well as some of the impacts of some older pricing increases that we've made.

Alex Giaimo: We'll go next to Andrew Boone at JMP Securities.

Andrew Boone: I wanted to ask again on Vector. Matt, you talked about incorporating data across the Unity ecosystem and optimizing performance. Can you just speak to the trajectory of the improvements to the model that we should be expecting for the back half of the year?

Matthew Bromberg: Yes. I think we're being prudent about how we're guiding this business, Andrew, just simply because it's a new business for us. It's a new system. And we just -- we want to -- we really want to be thoughtful about how we think about it as we go, which is why we reverted to quarterly guidance at this point. I guess what I can tell you is that it continues to pace out in front of our expectations authentically. So that, as I said, we were able to pull in the launch of Vector by quite a number of weeks, which is going to have a positive impact on our business. It's just not one that we anticipated. As the nature of this business, and you've heard me say this many times, is an iterative one. So we -- the business starts with small improvements, small daily iterative improvements and then we continue to work on the models, the models learn, they adapt. We find new sources of data for those models, and they get better over time. And at some point, you see -- you begin to see step change functions. But we're sort of learning right along with our self-learning model. So what I would tell you at this point is that, again, we're ahead of schedule. We're seeing measurable increases of about, as I said, about 15% to 20%, both in the scale that we're able to provide advertisers and in the quality of the users they're obtaining. And as a consequence, we have customers who, on a broad basis are beginning to spend more. As I mentioned in the preamble here, that's really positive. But what it's also doing is giving us the ability to go back and fully get into modernizing the whole advertising business. So back to what Matt was asking a couple of minutes ago, we're focused on really driving Vector and Vector revenues. And if there's some movement of from one product to another inside, that's fine with us. But we're investing really heavily in the Vector business because we are very confident that over the long term, we'll be able to fundamentally compete in a different way. And a couple of quarters ago, when we were just beginning this build, there's a lot on the line for us. And I guess what I just want to say how pleased I am and proud of our team that we've been able to deliver a brand-new system that is now delivering measurable improvements for customers, and we're just really excited about continuing to lean into that over time.

Andrew Boone: That makes sense. And then I want to ask the obligatory macro question. Have you guys seen anything to date? And is there anything that we should keep in mind just given the spectrum of potential outcomes for the broader economy as we think about the back half of '25?

Matthew Bromberg: Yes. I mean we're obviously really closely monitoring the situation as everybody is. We have not seen any noticeable impact thus far on our business from some of the macro factors that we're seeing out in the world. A couple of just notes on that. The vast majority of our customers are obviously game makers. In general, historically, gaming has been relatively insulated from sort of macroeconomic moves. It's a very efficient and effective form of entertainment on a kind of per hour basis for folks historically. And so that may be part of it. The other thing I'd direct you to is that the vast majority of our advertising spenders, for example, are promoting mobile games and principally free-to-play mobile games. So if there is any product that one would expect to be resilient in difficult times, it would be free mobile products. And the last thing I'd say is, I'd reiterate the question -- the answer from the question a couple of minutes ago, which is that as long as we're dealing with advertisers we're spending on ROAS. So they don't pull back spend based on sentiment like a brand advertiser would. And so I think those are all probably partial reasons that we're just not seeing anything yet, but we want to be prudent about that, and we're obviously watching it very, very closely.

Alex Giaimo: We'll go next to Tom Champion at Piper Sandler.

Thomas Champion: Hopefully, you can hear me. Matt, I just wanted to get your perspective on the timing and sequencing of events here between Vector, legacy, Unity and ironSource. Where are we in kind of the staging of this transition to Vector to the extent you can provide some color on that? And then how does that map to your R&D staff and resourcing behind that growth? And just maybe a broader comment on organizationally, do you feel like the company structure is where you want to be and in a good place to move forward?

Matthew Bromberg: Great. Thank you so much for the question. I appreciate it. Yes, listen, we've been really focused on making all the investments we need to ensure that vector and the kind of fundamental power that, that brings to our ad stack is going to have everything it needs. And to enable that transformation, we significantly increased our investment across the board in machine learning. We brought in new leadership. We hired new teams. We're obviously allocating money to GPU and CPU resources and infrastructure and tooling. So we're making all the investments we feel that we need to. And that includes, as Jarrod mentioned in his preamble, some increases in cloud costs that we expect to normalize in the back half. But we feel really good about those investments and the impact that it's having. We also reorganized our go-to-market teams a while back, splitting our revenue organization into 2 global teams, supply and demand to be able to provide focus on both some of the newer ad products that we had and also some of the more legacy ad products. But as I said also in my opening remarks, this -- we're really focused on having the full Advertising segment grow. I'm agnostic with respect to how that -- what that mix is. And I'm not going to be overly precious or cautious in the immediate term about trying to optimize that. We're structuring ourselves for swift, sharp long-term growth. I'm sure there will be some movement of customers from our internal products. But the fact is that there's movement across the whole market, and that's what's really important. We're going to take, hopefully, as much share externally, if not more than we are going to take internally. And in the end, we're going to have a fast-growing ad business. And so that's sort of how we think about it.

Alex Giaimo: We'll go next to Brent Thill at Jefferies.

Brent Thill: Alex, welcome. Matt, if you can just maybe give us your mile markers for the rest of the year on Vector? What are the big milestones you would like to hit through this year at a high level? And for Jarrod, really good margin upside. Maybe discuss the cost base and where you see the continued opportunity to drive continued margin efficiency?

Matthew Bromberg: Yes. Listen, the way to think about Vector is that in a way, we've just begun, right? In some ways, it's a sort of Vector 1.0 as what I've shared with you today is that we literally just completed the migration a couple of weeks ago, and we're now up and running fully for the first time in these models. It is the very, very early innings for us on this. By definition, this process is a process of investment and learning, and we're going to continue at that process. So I guess the first thing I'd say is, as I think about milestones is we are just very much at the beginning, and that's really, really important. As I look forward sort of strategically, I think -- I guess what I'd reiterate, and we've talked about this on prior calls is that we're not just an ad network. We're a platform provider. We're -- we have a first-party relationship with all of our customers who are frequently building their games on our platform as well as a direct connect to billions of customers through our run time. And it has always been our contention that, that provides some fundamental advantages to us in this business. And the real upside for Unity is as we begin to take advantage of those opportunities and those still sit out in front of us, not way out in front of us, but they are the kinds of things that in the back half of this year and into '26, the kinds of opportunities that we'll be really focused on. So I guess the way we think about this internally is like we're at the starting gate. We're just beginning to run, and it's all in front of us. I'll let Jarrod pick up some of the cost commentary. But just to say, as we mentioned that we do have some increased cloud costs as we've been running the 2 models in parallel, the old model and the new model. And one of the advantages of sort of getting to the starting gate and moving is that we'll only be operating model, which is really helpful from a cost perspective.

Jarrod Yahes: Yes, Brent, we feel great about where we started the year with 19% EBITDA margins. There's a couple of hundred basis points of year-over-year margin expansion. But as we think about profitability for the business, first and foremost, the priority is to be able to resource the business to accelerate the growth, particularly of our Ad business. That's extremely important. As Matt pointed out, we are putting a lot of resources into Vector, and we think there's a great opportunity there. With 80% plus gross margins, there's a lot of operating leverage in our business. And as you've seen, as ad businesses scale, they can really drop that to the bottom line and significantly improve EBITDA margins over time. We're being thoughtful. We're being prudent about the way we run and operate the business operationally. There's lots of opportunity for automation. We're taking a prudent approach to headcount, and we're rationalizing our software spend, which are all the things you'd expect us to do quarter in and quarter out. But again, first and foremost, we think there's a great revenue growth acceleration opportunity, and we're making sure to resource that appropriately while keeping an eye on the bottom line.

Alex Giaimo: We will go next to Parker Lane at Stifel.

J. Lane: Can you hear me okay?

Alex Giaimo: Yes.

J. Lane: Perfect. Jarrod, I was wondering if you could deconstruct the sequential decline that you're looking for and create a little bit more coming off a double-digit subscription growth there, strong industries momentum, pricing benefits. Is it simply the nonstrategic revenues that are influencing that number down quarter-over-quarter? Or are there other things that we should be looking for that would explain that away?

Jarrod Yahes: No, that's right, Parker. We experienced another quarter of strong double-digit subscription revenue growth. Industry continues to grow at an accelerated basis. If you think back to the fourth quarter, we had about $15 million of nonstrategic revenue that we disclosed. We also spoke about $30 million of nonstrategic revenue for the full year, so a bit of a step down from the run rate. And you're really just seeing some of that come off the business in the second quarter.

J. Lane: Got it. And Matt, maybe just to follow up on some earlier answers here. So it doesn't sound like there's a hard line in the sand for the transition away from the legacy models. Is that correct? You're kind of just waiting and seeing on the performance of Vector as opposed to setting that date and that influencing the way you think about the cost structure in the second half?

Matthew Bromberg: No, I wouldn't -- let me clarify that. This cutover means that we will no longer be running the 2 models in parallel. So we do -- we expect to see some of this cloud costs come off in the back half of the year. You'll see the effectively the additional costs that we're seeing, you'll see that come out. So that -- just I want to be super clear about that. Is it principally that the cost piece that you're interested in?

J. Lane: Yes. I was just wondering if there's a specific date where you said this is when it will no longer support or run the legacy models or if it's sort of a moving target based on the performance of Vector.

Matthew Bromberg: Yes. No, with the launch of Vector that we've talked about today on the Unity Ad Network, we are now no longer running on legacy models.

Alex Giaimo: We'll go next to Clark Lampen at BTIG.

William Lampen: can you guys hear me?

Matthew Bromberg: Maybe we -- now we got you.

William Lampen: Yes. Sorry about that. I had 2 more on Vector. I'm just curious in Q1, did you see any pressure on ironSource or Tapjoy or any of the legacy products? Or is that something where maybe you're anticipating for a different reason in Q2 that that's going to materialize or there's greater concentration of resources now around Vector? And then, Matt, going back to the comment you made around data and ROAS improvements, I'm curious if you could help us understand how the data flow is going to improve potentially as Vector continues to season and the model evolves. At one point, you guys had sort of talked to us generally about cross stats as a product. I'm curious if that's something that you guys have revisited or in the process of sort of introducing? And if so, could you give us a general sense for maybe what you'll have access to and how it could be accretive?

Matthew Bromberg: Yes. Thanks, Clark. Really appreciate the question. So let me take them one at a time. You're right. Your observation is correct. We are aggressively pushing resources into Vector, both from a go-to-market perspective as well as a technical perspective, and that does have some impact on the iAds business. In addition, again, the iAds business and the Unity ads business operates in a free marketplace with every other ad network in the world. And so we hope, in fact, to move some share both from iAds, and we are seeing some of that. But we also, much more importantly, are expecting to move share from others as well. So -- and again, also as we provide more return, we expect overall expenditures to be up with us. So -- but there's no question that there is some movement inside those products, inside our Ad segment, absolutely. In terms of your second question, you'll begin to see from us beginning in the back half of the year, but then continuing onward, a real focus on trying to bring to bear the additional insights that we have into consumer behavior on our platform and to bring that value to bear, not just for our advertising customers, but also for customers of our Editor and Engine. And what I mean by that is the opportunity that we have to unlock across the company is this. We have billions of customers who interact on our platform. And we have not historically used that insight to develop really clear valuable insights at a consumer level as to who folks are and how they behave and to think about how we provide value back to our customers. Just let me give you an example from the Create side, and then we can move to the Grow side. The vast majority of our big customers are operating live services with us, right? These are games with millions of players. And we can provide much greater insight to them on the behavior of those players, how they're passing through the game, what they're spending, why things are crashing, why the game might be performing better in one geography than another, all these insights that we have not yet begun to package and offer back to our customers. Again, that's an example on the Create side that is going to enable them to fully optimize the live services that they're making with us. At the same time, on the Grow side, those insights and that understanding of live players obviously has an impact -- potential impact on understanding how to better and more efficiently acquire the right kinds of players who are going to be happy inside the game that you're building and we're going to convert well and engage and spend over time. This is sort of a fundamental wellspring of insight that historically, we've not brought to bear on either side of our business. It is our primary strategy. Again, you'll start to see this in the back half of the year, but it will be the work of the next several years in total. It's our primary strategy to deliver that value, which we think nobody else in the world can do back to our customers.

Alex Giaimo: We'll go next to Chris Kuntarich at UBS.

Christopher Kuntarich: Can you talk a bit about the scalability of ad spend on Vector? We've heard in our checks about the strong performance improvement, but we've also heard a bit of pushback on vector on the scalability side of things. So is there an opportunity to invest in product to improve ease of spend?

Matthew Bromberg: Listen, just to echo the point that Jarrod just made, it's important to remember that we are just a very few short weeks into having rolled out the system. And the answer -- the short answer to your question is, yes. While we're -- and let's be clear, while we're really pleased with the results we're seeing, we also see nothing but work ahead of us. I mean we are just scratching the surface here. So yes, many customers are seeing lifts. And yes, those lifts are being seen across genres and across geographies, but there are also some customers that have not yet seen those lifts or where those lifts have hit a point of diminishing returns where they can't get the scale they want. Every advertiser wants infinite scale at their return requirements. And we want to deliver those, but that's work that needs to be done, both in the quality of our systems and the fine-tuning that we do with each customer in terms of how we manage those accounts. And that's the day-to-day work of our lives. And that's part of what these channel checks that you guys are all doing don't really capture. It's -- each customer has -- we have a team on each customer. We're working with each customer and each customer has its own story. We deliver better capabilities across our systems and then we work with each customer in each genre and each geography to try to optimize those returns. But that is -- and by the way, the macro environment is changing every day as well, right? So this is just what it is to be in this business, and we're feeling really good about it, but there's -- yes, there's nothing but opportunity.

Christopher Kuntarich: Got it. Very helpful. And maybe just one follow-up. Can you just talk a bit about the pacing throughout 2Q? I just want to make sure I understand the 15% sequential growth in 2Q and now you're trending to double-digit growth quarter-to-date in 3Q. Were you through the months of April, May and June trending to that 15% sequential growth? Or was there accelerating spend dynamics as you move throughout the quarter?

Matthew Bromberg: Let me just say at a high level. Again, we -- it was our goal in sort of getting a little bit granular this quarter and talking about this is what we want to provide as much transparency as we could about what we're seeing so you guys would understand the overall trajectory of the business. What I don't think would be helpful would be to like to break this down any further. And as I said, we're not going to be delivering this level of detail going forward because I don't think it's particularly helpful. I think the most important thing to understand is that, yes, we're very early in this. We're seeing very good early returns. We're seeing those returns build, and we expect that we have effectively unlimited runway to continue to build on those returns. And beyond that, I think just our general guidance is what we would lean back on.

Operator: Your next question comes from the line of Parker Lane with Stifel.

J. Lane: Jarrod, nice to see dollar-based net expansion get back to 100. The changes in the composition of the Create revenue base and the new Vector model, I just wondering how you could characterize DB&E across the 2 businesses. And when we look at the upside potential, are you thinking something in line with what we saw towards the end of '22 in the data sheet? Or is there potentially a higher upside at a steady state?

Jarrod Yahes: Yes. So we are pleased with what we're seeing in terms of net revenue retention, which is the disclosure we've made. We've seen it go up quarter-on-quarter for the last several quarters. That's really a function of the underlying business health being there, both in Create and Grow because that metric is ultimately an output that comes from improvements in ARPU for our existing Create customers as well as improvements in spend for our grow revenue business. As you think about the future potential for upside, the scale of our grow business is such that improvements in that metric is really going to come from customer spend increases in Grow. The pace of price improvements in Create is going to be modest and stable. We expect to be able to give our customers predictability and stability. And so you would expect that the improvements in that metric will largely be driven by meaningful improvements in our Grow business and meaningful improvements in customer spend through our platform.

Operator: Your next question comes from the line of Richard Kramer with Arete.

Richard Kramer: Matt, one of the big questions or debates with investors seems to be over the strategic importance of mediation and collecting signal on ad pricing and inventory. Can you talk about that as part of your Unity Grow offering and whether you see deeper integration of mediation with other growth features like the DSP is unlocking more potential in inventory and sales?

Matthew Bromberg: Yes. Richard, thank you for the question. We believe that we are uniquely positioned in this marketplace, as I've described, by virtue of being providing the operating systems for games globally. So it's not our intention that mediation isn't helpful. It's just that -- it's our contention that we don't need to win in mediation in order to prosper and grow the business. We have first-party relationships with billions of customers already and -- I'm sorry, billions of players of end users already, as well as with the creators of those games. And by the way, I'm not at all sure that the future of that of mediation ought to be a system which locks customers into mediation by virtue of their use of user acquisition. We'll have to see how that plays out over time. But what we're focused on now mostly is continuing to deliver value and user acquisition, providing more value in user acquisition is sort of the path through which all goodness takes place. And we're going to continue to build out the value and usefulness of our platform, and we'll take it from there.

Richard Kramer: Okay. And then maybe just a very quick follow-up, mentioning partnerships with the likes of Tencent and Scopely, they're obviously huge names in mobile gaming and gaming generally for Tencent. Can you give us a sense of the timeline when these sort of partnerships are likely to yield actual deeper integrations or games which build in all of your SDK elements and how you see those progressing because they're obviously -- both of them are really leading lights in the industry?

Matthew Bromberg: Yes. I won't comment specifically about those customers and the timeline related to those customers, but let me back and just speak slightly a little bit more general. What the announcements there and as well as the conversation we're having around Nintendo is really meant to point out is that for the first time, I think, maybe in our history, we've been able to begin to package the full value of our platform for customers and have really high-level strategic conversations about how we can partner to both help them grow out -- to help them grow their user base as well as build games more effectively, more efficiently. And there are deep connections between those 2 things as we've talked about this morning, and we've talked about many times before. So our ability to bring those to bear with customers and these broad relationships marks a change in our strategy and our ability to execute, which will enable us to take advantage increasingly of our position as a platform, as a meaningful platform in this ecosystem. And that's the piece, I think, that over the years has promise that Unity has always had, but we haven't been able to access. Because each customer is different, again, I won't go so much into the details there, but generally, these are -- the process is not an incredibly lengthy one. It's a process of optimization. So as I referred to in a question, we had a couple of questions ago, when you work with customers at an individual level every day to enhance returns. And the more connected you are at the level of information and data exchange, the more opportunity there is to optimize. But that is something that takes place over time and you work on it every day. All it needs to do is get better and better every day, and you're going to be in really good shape.

Operator: Your final question comes from the line of Martin Yang with Oppenheimer.

Martin Yang: First on Grow, can you talk about maybe intra-quarter trajectory of Vector's benefit for Unity Ad and Network? Do you see pretty consistent sequential run rate increase for Unity Ads in the second quarter? And has that trend continued in July and August to date?

Jarrod Yahes: Sure, Martin. This is Jarrod. Let me take that. We are extremely pleased with the 15% sequential growth we experienced in the second quarter. I would remind investors that we did not have all components of Unity Vector fully rolled out over the course of the second quarter. So that's really exciting. We saw strength on strength. So I think each month was better than the last over the course of the second quarter. That strength has continued in the month of July and into August, which really what gives us the confidence to talk about mid-single-digit sequential growth in our overall Grow business in the third quarter. We're really pleased with what we're seeing. We're pleased with the ongoing momentum. And more importantly, we understand that we have a really robust product road map and enhancement road map ahead of us. There's a lot of investments and improvements yet to come, followed by the introduction of some of the unique data that we have and data assets that we expect to avail of that should positively impact our business in 2026. So we're really pleased with where we are, pleased with the investment road map in front of us and pleased with what we're setting ourselves up for next year.

Operator: This concludes the question-and-answer session. I will now turn the call back to Alex for closing remarks.

Alex Giaimo: Yes. We want to thank everyone for joining this morning. We look forward to connecting throughout the quarter. Have a great day.